Operator: Good afternoon, everyone. Thank you for joining today’s Q3 2022 Kilroy Realty Corporation Earnings Conference Call. My name is Dante, and I will be the moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity to questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Mr. Bill Hutcheson, Senior Vice President of Investor Relations and Capital Markets. Sir, the floor is yours.
Bill Hutcheson: Thank you. Good morning, everyone. Thank you for joining us. On the call with me today are John Kilroy, our Chairman and CEO; Tyler Rose, our President; Rob Paratte; EVP of Leasing and Business Development; and Eliott Trencher, our CIO and Interim CFO. At the outset, I need to say that some of the information discussing during this call is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information on this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next eight days both by phone and over the Internet. Our earnings release and supplemental package have been filed on a Form 8-K with SEC and both are also available on our website. John will start the call with third quarter highlights, and Eliott will discuss our financial results and review with updated 2022 earnings guidance. Then we will be happy to take your questions. John?
John Kilroy: Thank you, Bill. Hello, everybody, and thank you for joining us today. I will give us some big picture comments and then review recent highlights. Over the course of the past several months, the economy has increasingly become uncertain, while at the same time, showing some encouraging data points. Labor markets remain strong, supply chain constraints are easing and the consumer continues to spend. However, the unprecedented pace at which Central Banks are raising interest rates to team inflation is by many accounts increasing the likelihood of a hard landing resulting in increased volatility in the public markets and limited transaction activity in the private markets. While we have not control the Fed for certain ramifications, its actions will have on the real estate market, we are laser focused on the items we can control. Just as we position KRC to play offense coming out of the 2008, 2009 recession, we believe we are similarly well-positioned this time around. Our leverage is low. We have no debt maturities until the end of 2024 and over $1.6 billion of liquidity, including a fully untapped credit facility. While no one wants a recession, Kilroy as cycle tested and prepared. During the third quarter, the push to return to the office intensified as many companies implemented stricter policies to encourage in-person work and collaboration. These efforts have been led by financial services and professional service firms, but we are seeing increasingly technology and media companies follow suit. Multi-large cap companies and their smaller brethren are requiring employees to be back in the office two days or three days a week, which has generated tangible progress in both our physical occupancy and castle data which recently hit a post-pandemic high. This has also driven steady improvement throughout the year in our parking income. Like many, we believe that softness in the labor market will likely strengthen employers resolve around encouraging work from the office and will also resolve in employees adhering to those plans more closely. The bifurcation between high quality space and commodity space continues to grow, which bodes well for our young and modern portfolio. According to JLL, in the third quarter, 90% of the space added to the sublease market was in older and less desirable buildings. Furthermore, throughout 2022, nearly 50% of markets nationally set records for high watermark rents on Premier Class A properties. This includes several of our markets, such as San Diego, Austin, San Francisco. Companies that are making decisions today understand the importance of locating and modern amenitized buildings and we are seeing that. Turning to recent highlights, we signed 390,000 square feet of leases since the end of the second quarter with an average term of eight years and average rent roll-ups of plus 7% on a cash basis and plus 27% on a GAAP basis. Some highlights include; a 63,000 square foot renewal of financial services tenant in Mineral Park; 55,000 square feet of renewals and expansions from two apparel companies in Culver City; and 11-year 28,000 square foot new lease with Boston Consulting Group at 200 Kettner in Little Italy; a 10-year 70,000 square foot renewal with a scientific research and development company in Del Mar; a seven and a half year 35,000 square foot renewal in San Francisco signed late yesterday afternoon with a major broadcasting company; and a 15-year 51,000 square foot lease with Page, a national full-service design firm and Indeed Tower, bringing this project to 68% leased. As we previously signaled, demanded in these towers increased over the last couple of quarters and we expect to have more good news to discuss in the coming months. Life science demand, especially in top-tier markets, has been holding up well. Vacancy is roughly 2% in South San Francisco and roughly 2% in the Del Mar Heights and UTC region, our two biggest clusters. We have multiple prospects interested in Kilroy Oyster Point Phase 2, which consists of three buildings and 875,000 square feet. Our 1,000 luxury residential units continue to perform well. Occupancy is approximately 94% and rents increasing meaningfully compared to last year. Additionally, Los Angeles is removing the eviction moratorium effective early next year, which is another encouraging sign of policy moving in the right direction. On the capital markets side, we closed the sale of 3130 Wilshire, a 46-year-old building in West LA for $48 million in gross proceeds or roughly $500 per square foot. This property no longer fit our strategy given its age and future capital requirements. Bigger picture, the sales market was quiet during the third quarter, asset level debt is hard to secure, especially for non trough assets and capital, while clinical is generally on the sidelines. We are pleased to close the sale of 3130 Wilshire. As we alluded to last quarter, we think it is prudent to let the capital markets stabilize before selling additional properties. On the investment side, we are staying patient, waiting to see how market conditions evolve and whether motivated sellers, excuse me, come to market. While we expect there will be acquisition opportunities at some point, we are not there yet. Our operating premise over the past 25 years as a public company is that there are times to buy, times to sell, times to develop and times like now to be patient. To that end, we said on our second quarter call that we were delaying the start of Santa Fe Summit, a 600,000 square foot plus life science development in San Diego. Similarly, we intend to hold off on the construction of Stadium Tower, our Austin development site until the economy gives us more confidence or we pre-lease a substantial portion of the project. As a reminder, the Stadium Tower site is fully designed and permit ready for a roughly 500,000 square foot building. Since we acquired the project earlier this year, we have done preconstruction work, which reduces the lead time to deliver a completed building. Additionally, we have the right to add density now given our proximity to the light rail, which we plan to study in more detail over the coming months. As I mentioned in my earlier remarks, in 2009, we positioned the company so that we could play offense as the economy improved, which resulted in some well-timed acquisitions and development starts in the Bay Area, Seattle and Hollywood. We are doing the same today by curbing spin, bolstering liquidity and getting our top-notch development sites shovel ready so that we can be an early mover when the time is appropriate. In summary, our strategy can be summarized via three tenets; best-in-class real estate; disciplined capital allocation; and fortress balance sheet. This recipe is cycle tested, having guided us through up and down markets over the past and we are confident that the hearings of these principal position -- positions us to be opportunistic as circumstances warrant. Lastly, we want to remind you of our upcoming investor event in South San Francisco to be held on Monday, November 14th right before NAREIT. We are eager to show everyone to Oyster Point and has some interesting speakers lined up to talk about the project, the overall market and the company. If you need more details, please reach out and we hope to see you all there. That completes my remarks. Now I will turn the call over to Eliott.
Eliott Trencher: Thank you, John. FFO was $1.17 per share in the third quarter, similar to the second quarter. On a same-store basis, third quarter cash NOI was up roughly 6%. The growth was driven by free rent burn-off for some office leases, improved parking revenue and higher occupancy at One Paseo residential. GAAP same-store NOI was up approximately 2%. At the end of the quarter, our stabilized portfolio was 91% occupied and 93% leased. Included in this number are three development and redevelopment properties, which were brought into service during the quarter. These three projects were 59% occupied and leased as of quarter end. Turning to the balance sheet. We enhanced our liquidity post quarter end by a $400 million unsecured term loan at a rate of adjusted SOFR plus 95 basis points. We have $200 million of the $400 million outstanding, which is subject to an interest rate cap and can draw down the balance at any point over the next 11 months. We believe this is an efficient source of capital, and it gives us enhanced liquidity to fund our development pipeline while continuing to provide predictability to our interest expense. Net debt to third quarter annualized EBITDA remained about 6 times and we have no debt maturities until December of 2024. Now let’s discuss our updated 2022 guidance. To begin let me remind you that we approach our near-term performance forecasting with a high degree of caution given all the uncertainties in today’s economy. Our current guidance reflects information and market intelligence as we know it today. The COVID-related impact to significant shifts in the economy, our markets, tenant demand, construction costs or new supply going forward could have a meaningful impact on our results in ways not currently reflected in our analysis. Projected revenue recognition dates are subject to several factors that we can’t control, including the timing of tenant occupancies. With those caveats, our updated assumptions for 2022 are as follows; as always, no acquisitions are forecasted, and as John referenced, we do not anticipate any additional sales for the balance of this year. Our new term loan has $200 million outstanding as of the beginning of the fourth quarter. We do not expect to draw any more in 2022. Development spending for the balance of the year is expected to be $100 million to $150 million, which translates to roughly $400 million of spend for the full year. This is a meaningful decrease from the roughly $600 million of development spend we were projecting earlier in the year. As we discussed last quarter, we expect the year end occupancy to be at the low end of our range or approximately 91% for the office portfolio and residential occupancy is projected to stay around the current level in the mid-90% range. Same-store cash NOI growth is now expected to be between 6% and 6.5%, a 75-basis-point increase from our prior estimate. The increase is due to strong results to-date specifically around parking revenue and the residential properties. Putting this all together, our updated 2022 FFO guidance is projected to range between $4.62 per share and $4.68 per share with a midpoint of $4.65 per share, which is a $0.07 increase compared to our prior guidance. The increase is due to the solid third quarter results and the adjustment disposition expectations. The new range implies a $0.02 decline for the fourth quarter as compared to the third quarter, which is predominantly due to the term loan that closed in the beginning of October. That completes my remarks. Now we will be happy to take your questions. Dante?
Operator: [Operator Instructions] Our first question comes from the line of Steve Sakwa with Evercore ISI. Your line is now open.
Steve Sakwa: Great. Thanks. I guess, good morning out there. John, I was just wondering if you could provide a little color on the South San Francisco life science demand. We have been out there several times and it seems like demand has slowed down out there. And I am just curious what you are seeing both broker deals and maybe non-broker deals for KOP 2?
John Kilroy: Yeah. Sure. Rob, do you want to take that one?
Rob Paratte: Sure, Hi, Steve. What I would say is that for, again, let’s talk about KOP compared to other projects that are out there. We have scale. We have three buildings. We can grow companies, which is what a lot of the larger companies are seeking, which is the ability to establish a toehold and grow. No doubt, as we have talked about before, early-stage companies are a little bit on hold, because their boards are putting them under more scrutiny and telling them to slow down taking space, while they sort through this uncertain environment we are in. I don’t want to get into a lot of detail on our discussions, but we are, as John mentioned in his comments, having discussions with several firms and we are pleased with the activity we have, and I would call it steady in terms of the inquiries we have had, the tours we have had and we are having some fairly in-depth conversations with companies.
Steve Sakwa: Okay. And then, John, maybe just on the broader leasing and maybe specifically what you are seeing in downtown San Francisco, I know you have had some either tenant move-outs or some sublease space coming back on the market like Nektar Therapeutics. And I am just wondering what you are hearing from kind of the business leaders about leasing specifically in downtown San Francisco for either vacancy or maybe upcoming availabilities?
John Kilroy: Yeah. Let me deal with the big picture for a second then I am going to turn it over to Rob and address some of the specifics that you raised, Steve. I mentioned on the last number of calls that in a period of volatility and uncertainty, it’s natural, whether it’s people or whether it’s companies. If you don’t need to make a decision, you don’t make a decision. If you can delay a decision, you delay a decision that’s just smart. And that continues to be in all of our markets, although we are beginning to see a lot more activity. Specific to San Francisco, Rob, can you address that?
Rob Paratte: Sure, Steve. Again, I think, it’s really important to emphasize the difference between properties, right? There’s Class A premium properties, which I think our portfolio falls into. If you have got a young portfolio, young buildings, well-located, modern improvements, amenities, you are going to have activity and that’s borne out in the data in San Francisco. The top 20 buildings in San Francisco according to JLL right now have seen effective rent gains of 15% since 2019, and in some cases, increases beyond that. So, again, if you have got property that tenants want, they are going to be very selective and they are going to absorb it. And a really good example of that is Google taking almost 300,000 feet in Q3. A lot of rumors float around the text on the sideline, but I think that is not the case as we have seen in other markets we have as well. Sublease space has remained at about 7.2 million square feet. It fluctuates up and down, but we have been holding in that range for quite a few quarters, and again, it really depends on the quality of the space. The Google lease I mentioned is actually a sublease and that’s a high quality building that they took. So, there are the haves and the have not. And I think the last thing I’d say, if you compare the REIT industry to the private markets in terms of ownership, some of the private owners are going to have, I think, struggle as debt markets continue to tighten and lending becomes more difficult. So there’s going to be difficult in fulfilling capital requirements for leases and operating the building in a Class A manner. So Kilroy positions itself as a true partner with our tenants. And what we are really doing, as John mentioned, we got a lease signed later in the evening last night and that was a true partnership with the tenant working hand in glove with them to get their management on Board with the lease, as well as making the numbers work for Kilroy.
Steve Sakwa: Okay. I guess maybe just as a follow-up, John. Just big picture, given the discussions you have had with the Mayor, I mean do you feel like the city has made enough progress, both in crime, homelessness and attractiveness to bring people back that makes the city sort of viable going forward?
John Kilroy: Well, I am going to start with the premise that, no, they have not made as much -- enough progress. I mean that requires a lot more. But it’s that old thing. If the train is going south, you got to stop it before you have a chance to turn it around and go north. They think we are going north now. But we have got a lot to do and we have an election coming up to reelect the narrow appointed district attorney, Jenkins. She’s running for election now. That’s an important race. There’s a couple of supervisor races that are important. And I will say this about San Francisco. I am not in New York, as you know, but in terms of ownership, whether it’s New York, San Francisco, LA, Seattle, wherever. Leadership and policy makes a difference. I have been -- as you all know, everybody on this call, you have heard me speak for 10 years saying my biggest concern in the world has been politicians and some of them are not in our country, but the fact is we need good policy. We have seen some real good changes in San Francisco and elsewhere. The selections that are coming up that affect the state, affect the country, effect the various individual cities that we are in are all important. Some we are going to win on. Some we are probably going to lose on, I don’t know, but directionally, I feel that we have really made a difference. And what’s happened is it’s because people have united together across the political spectrum, because they are sick and tired of some of the bad stuff policy wise that’s going on and so I am optimistic, Steve, but we need to go further. It’s certainly not enough. But I am far more optimistic than I was a year ago, because we finally sort of stopped the train going south. That doesn’t mean it’s still not going south in a few little basis. But I am optimistic, but it’s a battle. It’s like a health issue. All of a sudden, you see that your health is improving, but you still have a ways to go to get to be a place where you are really healthy and I would say that’s very similar.
Steve Sakwa: Okay. Great. Thanks. That’s it for me.
John Kilroy: Okay. Super. Thank you.
Operator: Thank you for your questions, sir. Our next question comes from the line of Camille Bonnel from Bank of America. Your line is now open.
Camille Bonnel: Hi. Good morning. I see leasing activity improved in October with your teams signing nearly a third of leases year-to-date in one month. Can you provide a bit more background behind this leasing activity in the sense of how long were these conversations going on for and how does it compare to leases you were signing at the start of the year?
John Kilroy: Rob, do you want to take that one?
Rob Paratte: Sure. Hi, Camille. As John said earlier, I think, on this call, and he said it multiple times over the years that, it -- we are in a position right now where decision-makers are faced with a lot of uncertainty and if you don’t have to make a decision today, you are not going to make one and that’s the prudent thing to do. And that’s borne out in the leasing that we see and why transaction velocity seems slower and it is slower, because what’s happening is, on our client side, the tenant side, the real estate executives are being scrutinized more in terms of the deal that may get approved, say, in May by a Board of Directors or a subcommittee of a Board. It is coming back up for review in September as an example, because the Board wants to make sure it’s still a viable -- is it a viable transaction for the company? Do they need it, et cetera? So that is taking more time. I think that we just are very prudent about how we report our leasing during earnings calls and quarter-to-quarter, but we have had quite a few deals in our pipeline, which you see now coming to fruition in October, and I would say, we have more in our pipeline, as John alluded to, that we will be announcing here hopefully shortly. So it’s just a complicated environment, and you have got a lot more eyes looking at transactions than you did in 2019, for example. But again, if you have the right property in the right location, tenants are making choices and they are making decisions, and some are making longer-term decisions to lock in that space.
John Kilroy: Yeah. I’d add to that.
Camille Bonnel: Okay.
John Kilroy: The -- since Labor Day, we have seen a big increase in tours throughout all of our markets and we have seen more deals green lighted that were sort of not on hold, but just going through the added scrutiny that Rob was talking about. So there’s definitely been a shift to deposit it since Labor Day. We hope that continues to gain momentum. But I think that’s sort of a place at which we could say if we have seen a big difference.
Camille Bonnel: Okay. I appreciate the color. And second question for me, can you comment on any sublease space, if any, in your portfolio and speak more broadly on whether you are seeing any changes in the market, whether people are leasing or taking back space?
Rob Paratte: Hi, Camille. It’s Rob again. Yeah. As far as we know now, we don’t have any new major blocks of sublease space in our buildings. Often, what happens, particularly with a sub-tenant that comes along that is somebody would really want, we will -- we can make a direct deal. We can do a must take at the end of the term and that sort of thing. So we do work with our tenants, as well as good subtenants when we find them. So, so far, I think the quality of our portfolio is bearing out that we are not seeing a high proportion of sublease space. As I said earlier, San Francisco sublease space has remained fairly static in the 7.3 million square foot range. I would say that about 40% of that 7 million is Class B and C space that’s going to be the last to lease, if it does lease again or it will be converted to some other use at some point and then taking a step back across the markets. I think a fair answer to your question is that sublease space is up in most markets. But again, it’s got to be -- you really have to differentiate between contiguous floors of sublease space, which is more competitive to the product we have versus spots of space in a building. So most markets have seen an uptick in sublease space, but you are also seeing pretty much a supply constraint going on also as far as new development goes.
Camille Bonnel: Thank you for taking my questions.
Operator: Thank you for your questions, ma’am. Our next line of question comes from the line of Derek Johnston from Deutsche Bank. Your line is now open.
Derek Johnston: Hi, everyone. Thank you. John, a little while back and even briefly in your open, you noted the Indeed Tower. I think the pricing was strong, while the lease-up was slightly behind schedule. With another lease signed, can you provide an update versus plan? And then more broadly, what makes you confident about the demand you expect to see in the Austin market going forward?
John Kilroy: Well, I’d ask Rob to comment as he’s directly involved in all those deals. I’d say this, we did increase the rents dramatically and the roster of people we are dealing with are kind of like who’s who quality and I think we are going to do extremely well in that asset. But, Rob, why don’t you add some color?
Rob Paratte: Sure. Sure. Just a little more color. What we really like about the Austin market and if you look at our lease-up at Indeed, is that it’s a diverse market. So we have a mix of tech and we have a mix of professional services and that’s borne out in our tenant roster at Indeed. And that allows us to cast a wider net in terms of who we are going after. And Indeed, because of, again, the amenities, the scale of the project, the food and just the life in the CBD is attracting both sides of tech and professional services. And a lot of the companies, I would say, particularly on the tech side, that are expanding in Austin and continuing to expand, are doing it because of the talent they are getting and they are locating in locations where that talent wants to be. And we are the young engineers and people coming out of college want to be -- they most generally want to be in a CBD, where you have an active nightlife and things to do after work. So I think that’s a fair description of what gives us confidence about the market. And then I can’t disclose, but I just know what our pipeline is and the negotiations and discussions we have going on. As John said in his comments, we expect to be able to make some more announcements.
Derek Johnston: All right. Excellent. Thank you. Look, I know you mentioned this is a market to be patient, right? But with 55% of development committed to life science, that will bring the exposure to just under a third of NOI. So, I guess, I wonder, what’s the capital investment priority between, at some point at least, right, when we are not patient anymore, between increasing life science exposure and/or pushing into new markets. How do you balance both of these?
John Kilroy: Well, I mean, that’s an evolving question. Obviously, we spent five years analyzing Austin and looking for the right opportunity. We would have been there earlier if we had found the quality that we wanted. But that’s -- we don’t have another market that we are looking at in earnest. We look at a lot. We always have. We are probably looking less right now. In terms of product, we have, I think, what has got to be, if not the, one of the best located position life science projects in the country in KOP. That’s a very proven market. We have incredible amenities and physical characteristics of that property that people love. As Rob mentioned, we have got some real great interest in there and I think we are going to be very successful in Phase 2. So I look downstream, and I go, we don’t have a magic ratio with regard to what could be life science. How much should be in new markets. We are going to be very prudent as we have in the past when we go into a market. It will be to establish a beachhead quickly, end up with sufficient scale to have the right kind of people, make sure that we have a product that differentiates itself, so that we are not just a commodity or is just another player where we really think over time we can create a lot of value. So that’s kind of the big picture and we are going to be flexible and you mentioned patients. I have been doing this for longer than most people in the REIT world today, although, just give them over. And I have been through a lot of cycles. As a private company, I have seen their debt experiences. I have had a lot of friends that have had debt experiences in terms of business and liquidity is all important. And the thing I would emphasize about us. Yes, the balance sheet is in fabulous shape. Liquidity is huge. We have got plenty of capital. And we have a very straightforward story, we don’t -- we are not complicated, everything is pretty simple and we are very straightforward with our client base, and we work with them a lot about where they want to go. That’s what drove us to Austin to begin with is a number of our tech companies saying, hey, you need to be there. You guys could really differentiate. We like your kind of product and we think it out of -- you do well there. So that’s just big picture and we will see.
Derek Johnston: All right. Great. That’s it for me.
Operator: Thank you for your questions, sir. Our next line of question comes from the line of Nick Yulico from Scotiabank. Your line is now open.
Nick Yulico: Thanks. Thanks. Hi, everyone. First question is just on the lease expirations over the next year. Hoping to get an update there on the traction you have on space. I know last quarter you mentioned, one likely move out in San Francisco, so just to get a kind of feel for what activity is like on the expirations?
Rob Paratte: Yeah. Hi, Nick. This is Rob. We have four expirations over 100,000 feet in 2023. One of them is a known move-out, which is Pac-12, which we have announced. The other three were in active discussions with, and that’s about all I can say, but we continue to have dialogue with the remaining three.
Nick Yulico: Okay. Thanks. And then in terms of the asset sales, reducing that guidance, just hoping to dig into that a little bit, was that a situation where you specifically brought assets to market and you got disappointing bids or is it just sort of informed by your and color you are hearing from the investment broker world that on a real-time basis asset values are down by some level, because debt costs are up and so you just chose to avoid selling right now for that reason?
John Kilroy: It’s the latter. We actively put 3130 on the market. Eliott, I think, we had about more than a dozen bids or whatever, we had a lot of -- dozens and dozens of people signed NDAs and whatnot. So that was a fairly efficient process. As far as the other buildings that we were thinking about, we didn’t take the market. We monitor the market. We are regularly dealing with the big brokerage companies, East deals of the world and so forth. And we are also having conversations with some of the logical buyers, not specific about an asset, but we follow them with regard to the level of activity that they have. We kind of understand what -- who’s debt dependent and the kind of debt that they like to have and the percentages and so forth. And then a volatile -- a confusing time like right now, if you are going to sell an asset, we have plenty of assets that we can sell that for fabulous prices that are long-term leased to high quality tenants, but we really don’t want to sell those assets. And we just say to ourselves, why sell into an inefficient market where you have fewer bidders, more contingency with regard to debt or otherwise, that doesn’t make any sense. We built the company around the premise of having a stalwart balance sheet and that allows us the opportunity to be sellers when it makes sense. But not have to sell to fund things and that’s what we have elected to do. The markets will come back. I mean, it’s -- who knows what the new normal will be. But there are a lot of things in the system right now that create uncertainty and we have built the company to weather the storm. And when it returns, then we will be back as sellers of some of the properties we want to sell.
Nick Yulico: Okay. Thanks, John.
John Kilroy: You are welcome.
Operator: Thank you for your question, sir. Our next line of question comes from the line of Blaine Heck from Wells Fargo. Your line is now open.
Blaine Heck: Great. Thanks. Thanks. Just following up on new leasing demand. Again, what we are hearing that large tenants are at least taking a step back recently. So if you could just talk a little bit more about the profile of tenants have active requirements in your markets and maybe some context on the size of that requirement pipeline relative to kind of historical averages, I think, that would be helpful?
Rob Paratte: Sure. Hi, Blaine. This is Rob again.
Blaine Heck: Hi.
Rob Paratte: As John mentioned earlier, since Labor Day, we have seen a real uptick in activity tours and actually deal making, and that’s really led by Los Angeles, San Diego and Austin. San Francisco and Seattle are a little more muted, although, again, you can’t generalize and there is activity that’s going on in those markets. And as I said earlier, life science is steady, with users continuing to seek out the highest quality space they can. Some examples for you are Seattle, we have Blue Origin doing a 250,000-foot expansion not in one of our buildings, but in the Seattle market. Alaska Airlines is growing by 120,000 square feet in Seattle. I mentioned the Google Cloud deal of 300,000 feet in San Francisco and U.S. Bank expanding in San Francisco. For example, in South San Francisco, recently, Astellas Pharma signed 154,000 square foot lease and NGM Bio did a renewal for 120. And I think San Diego has just been amazing. It just has a continued expansion of thing. I can’t -- one of the companies we do business with has just recently expanded by another 500,000 feet down there. I can’t mention the name, but it’s the same company and you look at vacancy in both Del Mar and UTC, roughly at 2%. So I think the market dynamics are just set for these larger tenants, and again, in specific markets, you are seeing activity, and when you have quality space, you will see activity. Is it slower than 2019? Absolutely. And are some tech companies sitting on the sidelines? Absolutely. But you can’t generalize that all tech is on the sidelines. And if you look at the examples I just went through, it’s sort of a mix between there’s a bank, there’s Google, there’s Blue Origin, there is science, there’s professional services. So that’s pretty much what we are seeing and I think the pipeline for those deals is the hard thing to predict. What we are seeing and what we feel is that this will improve, but it will be moderate. I think John used the term sort of fits and starts as what we see.
Blaine Heck: Great. Thanks, Rob. That’s really helpful. Second question, you guys have a relatively strong balance sheet compared to peers, which is certainly an advantage in this environment, but you do still have some more spend associated with your development pipeline and dispositions are likely a little tougher, as John just talked about. So I guess how should we think about sources and uses and how leverage could trend as we look forward?
Eliott Trencher: Hey, Blaine. This is Eliott. I can take that. I think the way to think about it and we touched on our liquidity a little bit during the prepared remarks. But between the cash we have and the $400 million of unsecured term loan that we raised. We have about $500 million. We also have $1.1 billion on the line, which compares to a remaining spend of the projects under construction of about, call it, $750 million or so. So that gets us a lot of the way there. And frankly, the term loan that we did in the fourth quarter was $400 million. The midpoint of our disposition guidance was $350 million. So we actually enhanced our liquidity as well. So we do think we have quite a bit of runway to fund the pipeline and as we get a little bit further down we can make a decision on how to fund the balance. But we think a lot of the near-term question has been resolved with the term loan. As far as leverage, we are about 6 times now. I think what we have said in the past is not that we intend on debt funding everything, but if we did debt fund everything just to show a sensitivity that 6 times goes up to 7 times and then once the pipeline is leased, it gets back down to around 6 times.
Blaine Heck: Thanks. Thank you, guys.
Operator: Thank you for your question, sir. Our next line of question comes from the line of Michael Griffin with Citi. Your line is now open.
Michael Griffin: Great. Thanks. Maybe back on to leasing. Rob, I am curious, have you noticed from prospective tenants you are talking to, anything that they are sort of asking or looking for that they might not have been, call it, six months to 12 months ago?
Rob Paratte: Michael, I think, from a concession point of view, there haven’t -- the one thing that’s happening with concessions is, and I wouldn’t call it a concession, it’s just a fact of life that with inflation, tenant improvement costs have gone up. But we are not seeing anything out of the ordinary at least in the deals we are making in terms of rent sessions. What tenants are really looking for and what we are doing with them is, they are looking for partners, meaning we need to partner with them. We have to help them in creative ways, make deals where they are having to navigate their management and their CFO. They know they have the headcount, they know they need the space, but we are having to do creative deal structuring. And that doesn’t mean tons of free rent and then a high coupon rent, so things look good. It means figuring out how to help them grow, how to help them grow in sort of a phased way in certain cases, it’s a large tenant and working with them to really help make a transaction that works for both sides and that probably is taking more time than it did in 2018 and 2019, because things are just moving at a quicker pace.
Michael Griffin: Thanks. Maybe shifting back on to the political landscape in some of your markets, while it seems like things have improved somewhat. I think John alluded to, you have to stop the train before we turn it north. I mean if you do end up seeing a deterioration in the environment from a regulatory perspective in some of these markets, would it make sense to reallocate at some point out of some of these markets and into Texas, maybe continued expansion there, more kind of business friendly kind of environments?
John Kilroy: This is John. I think you have a good question, and I think, it’s sort of -- I don’t mean to be a smart, like, I think, it’s sort of self-evident what the answers to that would be. The -- we have a lot -- I think everybody knows, I am kind of a hard ask when it comes to these people, having their policies right and I make no bones about what I think they ought to do, and if they are not doing the right thing, then forming coalitions to try to change. And so you start with that, and like we said earlier, we are starting to see some real improvement. But we probably have 40 years of abuse in some of these cities. They have just lived in land and now they are having to come to reality. As a company, I am not going to make a call yet with regard to -- we should invest more in this area unless in another area. But we are pretty logical people and you had a very logical question and that’s about as specific as I can get because I am not going to rock boats in various places, but we talk -- I don’t think you can have any doubt, Michael, about my directness, I am kind of known for it and I have a lot of calls with politicians every day.
Michael Griffin: John, I think, we appreciate the no nonsense and the candor there. thank for the time.
John Kilroy: Well, I got to tell you this to everybody else in the REIT industry that owns properties in these cities, I am seeing a lot more join in, but more need to join in. This is a battle. It’s bottle all over the country. And we just got to make sure that sensible minds prevail over time. And as I said, I am encouraged. It’s transcending the political landscape now because people have had enough and I don’t really need to say more, I will probably get into trouble. But thank you.
Operator: Thank you for your question, sir. Our next line of questions comes from the line of Dave Rodgers with Baird. Your line is now open.
Dave Rodgers: Yeah. Good morning out there. Eliott, I wanted to start with you. I think other income was up a little bit, not a big deal this quarter. But I wanted to ask them further about kind of parking deferral, retail, ancillary income, how much more you might have to go in terms of a recovery against what your physical occupancy might be and maybe how that’s impacting that other income line?
Eliott Trencher: Yeah. The biggest driver in the quarter, and frankly, in the year-to-date is on the parking side. If you look at our same-store parking year-to-date, we are up about $4.5 million versus last year. So we have seen tangible improvement there, mainly driven to -- as a result of higher physical occupancy and that’s what drove both a portion of the same-store increase, as well as the guidance increase. So we are pleased about that. As far as where we go from here, tough to say, but we are not ascribing millions and millions of dollars of upside from where we are. We think there’s a little bit more room to grow there.
Dave Rodgers: Appreciate that. That’s helpful. On Indeed, Indeed Tower, can you give us an update on any time line for move-in rent payments, build-out, et cetera, that might impact your expectations going forward?
Eliott Trencher: Yeah. So specifically around the revenue recognition for Indeed, which is what I think you are referring to, they are paying cash rent. We are not recognizing revenue yet and we expect to start recognizing revenue in sometime next year.
Dave Rodgers: Any more clarity on kind of the timing around that, obviously, a pretty big lease…
Eliott Trencher: First half.
Dave Rodgers: …when could that incurred upon. That first half?
Eliott Trencher: First half. Yeah.
Dave Rodgers: All right. Appreciate that. And then last one, maybe this is for Rob on the leasing front. It’s a little ways out 2024 the LinkedIn space. You probably aren’t talking to them yet. But I guess maybe the question would be, are they using that space, do you expect them to stay pretty engaged in that space, it’s a fairly large size lease and so I just wanted to kind of touch on that quickly?
Rob Paratte: Yeah. Dave, I -- Silicon Valley in general has been really active in the last year, actually year and a half. LinkedIn loves that space. They love the buildings. They have been in them for quite a while. We have had some inquiries from others and I don’t want to give any other color than that, but it is a ways out. But I feel at least with what we are hearing and seeing in the market that it’s going to be attractive to more than just LinkedIn. I will put it that way.
Dave Rodgers: All right. Thank you.
Operator: Thank you for your question, sir. Our next line of questions comes from the line of Vikram Malhotra with Mizuho. Your line is now open.
Vikram Malhotra: Thanks so much for taking questions. Maybe just first one, bigger picture, you talked a lot about cycle tested, so the well-positioned balance sheet, et cetera. I am just wondering, like, assuming we see a turn in fundamentals here, from a capital deployment or broadly strategic perspective. What would you sort of repeat as you have done in prior cycles and what sort of either products or avenues of growth would you just completely stay away from given this market that’s become one of have and have not?
John Kilroy: Well, I will start with that. This is John. Vikram, how are you? So we talked a lot about over the years the increasing obsolescence of the stock and that has been accelerated by COVID and it just continues to accelerate or said another way, a larger percentage of the traditional stock is less desirable or not desirable to an increasing group of users. And so, if I sort of think about when we got came out of 2008, 2009 and sort of began to buy property in 2010. We were very focused on properties. They may not have been in perfect shape, but they have the bones, the physicality that we thought was important that where we could modernize them and they would be desirable to the modern tenant and then, of course, we bought a number of buildings, some that were recently completed and we did a lot of development. The problem that this transition to sort of obsolescence is made the universe of buildings or the percentage of buildings that one can buy is sort of reduced with regard to what qualifies for us. We are not going to buy in areas we don’t think have great trends to go up. They can go up and down as we are seeing, but over time, we want to know that the location is going to go up. And with regard to physicality, it’s even -- we are even that much more fixated. And I think one of the things that has really been interesting, I think, our average age of our portfolio is 10 years or 11 years and it was probably 12 years or 13 years, three years or four years ago and why is that? Because we have sold off older stuff and we have built so much new stuff. And I think that’s going to be the place where we are, like, very well-positioned, because we understand development. We are known for development. Our tenant base knows us to be very good developers and I think that’s going to position us very well. That doesn’t mean there won’t be opportunities to buy great buildings, there may be, but there may be too much competition there. I just don’t know. So we are going to be flexible what we are not going to do is buy a portfolio of buildings where they are mostly old and have problems just because we want to enter a market or because it’s for sale. Just -- that’s just on our style. You have not seen us do that. The only company we bought in 25 years was a little one for $300 million and it was almost all new product, and that was the Allen Group in San Diego in 1997. That’s -- that was it. So I think that we are just that much more resolved towards the kind of buildings that you got to have to really have a good run over a long period of time and we are fixated on that.
Vikram Malhotra: Okay. That’s helpful. I guess just on that deployment. I remember last quarter, you had talked about potentially incremental opportunities either acquisitions or development in Austin, specifically. Can you just update us sort of where are you in that process, what’s emerging?
John Kilroy: Well, we do have the site we bought, I think we closed on it and that was March or April or thereabout Stadium, which is all approved and entitled and we have permitted and we are ready to go on that and if it makes sense and we do have a number of tenants that we are working with on that building. So we will see what happens. But I am not going to get into specific sites that we are looking at. We do like the domain area. There aren’t that many opportunities there. We do like downtown. There are a couple of good opportunities that we think are going to emerge and there are a few other areas that we are looking at, but nothing that is actionable at this time. I don’t see us loading up on new development for the foreseeable future. Do we pick up one or two sites that might make sense, possibly. But we are in the far more in the risk off mode given this climate than we are on the risk on mode, and we want to make sure that if we buy something, that it is a site that is whether -- if we have to wait a cycle or whatever, that it’s still going to be good. It’s not going to go bad because we overpaid for it or whatever. So that’s big picture. But I can’t get into specifics because I am not going to give our competitors that knowledge.
Vikram Malhotra: Sure. Fair enough. And then just last 1 maybe for Eliott. So, I guess, sorry, I joined the call late, I may have missed this, but I did see a specific occupancy updated guide or just guide in the press release on the supplement. Is this sort of a metric that you just didn’t provide this quarter or is it something you don’t intend to provide going forward?
Eliott Trencher: Yeah. What we said during our prepared remarks is that, similar to what we spoke about on the call last quarter, we expect to be at the low end of our range or about 91% on the office portfolio and resi will be around current levels, which is sort of in the mid-90% range.
Vikram Malhotra: But this is, I mean, I guess just a metric you, one of the components of guidance eventually when you provide next year you will have an occupancy estimate?
Eliott Trencher: That’s our plan.
Vikram Malhotra: Okay. Thanks.
Eliott Trencher: Yeah.
Operator: Thank you for your question, sir. Our next line of question comes from the line of Tayo Okusanya. Your line is now open.
Tayo Okusanya: Hi. Yes.
John Kilroy: The announcer.
Tayo Okusanya: Hello.
John Kilroy: Excuse me, I am -- I beg your pardon. This is John Kilroy, the announcer there. We didn’t hear at least I didn’t cut out on the name of the person speaking, asking the question. Could you repeat that, please?
Operator: Oh! Yes, sir. Of course. It is Tayo Okusanya for Credit Suisse.
John Kilroy: Okay. Great. Thank you.
Tayo Okusanya: Yes. Good morning everyone over there. My question is around the asset sales, Eliott, of the $0.07 increase in the midpoint of guidance, how much of it is just because of the lowered asset sales outlook? And then second of all, if asset builds continue not to happen because of transaction markets or capital markets what have you -- or what have you, how those one kind of think about funding future development going forward?
Eliott Trencher: So the second half of the question is similar to what Blaine discussed or asked earlier, just to reiterate there, we have $500 million of liquidity and $1.1 billion of an untapped credit facility and call it about 750 or so remaining in our development pipeline for projects currently underway. If we chose to debt finance everything, we are not saying we are going to do that. We temporarily go from 6 times to 7 times and then back down to 6 times as it gets leased. So as far as the first part of your question, the $0.07 is roughly split equally between dispose less term loan and so it’s important to remember that while we cut our dispo guidance, we did do a term loan, which was not in our guidance previously, so that’s about half of the delta. The other half of delta is a combination of our revenue recognition on two life science projects happened a month earlier than we thought and our parking with a few million dollars better than what we expected as well and so that drove both the same -- the parking drove the same-store increase, as well as a portion of the guidance increase. .
Tayo Okusanya: Great. Thank you.
Operator: Thank you for your question, sir. And with that, we have exhausted all questions. I would now like to pass the conference over back to Bill Hutcheson for any closing remarks.
Bill Hutcheson: Great. Thank you for joining us today everybody. We appreciate your continued interest in KRC. Have a great day.
Operator: And with that, we will conclude today’s Q3 2022 Kilroy Realty Corporation earnings conference call. Thank you for your participation. You may now disconnect your lines.